Operator: Good afternoon ladies and gentleman and welcome to the Alkami Technology Fourth Quarter 2023 Financial Results Conference Call. At this time all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Wednesday, February 28, 2024. I would now like to turn the conference over to Steve Calk, Vice President and Head of Investor Relations. Please go ahead.
Steve Calk: Thank you, operator. With me today on today's call are Alex Shootman, Chief Executive Officer, and Bryan Hill, Chief Financial Officer. During today's call, we may make forward-looking statements about guidance and other matters regarding our future performance. These statements are based on management's current views and expectations and are subject to various risks and uncertainties. Our actual results may be materially different. For a summary of risk factors associated with our forward looking statements, please refer to today's press release and the sections in our latest Form 10-K entitled Risk Factors and Forward-Looking Statements. Statements being made during the call today are being made as of today, and we undertake no obligation to update or revise these statements. Also, unless otherwise stated, financial measures discussed on this call will be on a non-GAAP basis. We believe these measures are useful to investors in understanding our financial results. A reconciliation of the comparable GAAP financial measures can be found in our earnings press release and in our filings with the SEC. I'd like to now turn the call over to Alex.
Alex Shootman: Thank you, Steve. Good afternoon and thank you all for joining us. I'm pleased to report that Alkami delivered strong financial performance in the fourth quarter of 2023. This contributed to a great year on several fronts, including progress towards the multiyear revenue and profit guidance we discussed at the beginning of the year. In the fourth quarter, Alkami revenue was 29%, once again ahead of Street expectations. We exited the quarter with 17.5 million live registered users on the Alkami platform, up $3 million compared to the prior year. And we generated approximately $3.1 million in adjusted EBITDA. In the full year of 2023, we delivered excellent results, including 30% revenue growth, exceeding positive adjusted EBITDA a quarter earlier than projected, and making progress on key initiatives that will deliver on our future revenue and profit targets. Some highlights for the year include the following: we won 39 new logos with a total contract value of 21% last year, representing the best year in our history for investing in financial institutions and total contract value sold. We demonstrated the growth opportunity in our client base by delivering total contract value from add-on sales at the highest level in our history. Our culture of treating the client as our North Star produced results, as Alkami did not lose a single client on the platform during 2023. In Q4 alone, we renewed 20 clients who averaged five new products added and extended without coming for another five years. In February 2024, we renewed our largest client, which is a top 10 credit union, more than doubling the original total contract value and extending the relationship for another five years. Execution on the band market continued as we nearly doubled our bank clients under contract and implemented clients on two new bank cores that are key to our long-term strategy. We also signed our second largest total contract value new logo transaction in our history, which is a bank line platform investment for long-term scalability that began to deliver results for our clients and our economics. And we added executive talent in two important areas of our business: engineering and client experience, which includes all post-sales activities. One of the most reassuring outcomes of 2023 is the resilience demonstrated by our end market, which contributes to the confidence we have in our longer-term financial guidance. Our market consists of over 9,000 regional and community financial institutions that are rarely public entities; they are focused on their communities and operate with very diverse strategies. This results in a lower risk profile, which was evident in the months after the spring liquidity event that impacted a handful of superregional banks. Throughout 2023, we saw stability within our clients' deposit balances, the number of customer accounts, and strengthen the buying behavior of our target market. We're optimistic, as that momentum carries over into 2024, and our optimism is supported by some recent market research. We just completed an independent survey of our market, in which 90% of banks and 89% of credit unions said they were optimistic about their financial future over the next 18 months, and 67% of banks and 72% of credit unions anticipate increases in their technology budgets in 2024. Alkami's target market considers a modern digital banking platform to be a non-discretionary investment. Our clients and prospects tell us that to remain competitive with megabanks, they must have a great digital sales and service channel. As one industry analyst recently wrote, we believe the demand for digital transformation remains more robust than ever, particularly as many of these FIs need to invest in technology to attract deposits in what is now a more dynamic deposit-gathering environment with higher interest rates. Companies that convert to and stay with Alkami tell us that the investment we've made in a cloud-native single-code base, multi-tenant system with a superior user experience, extensibility as a philosophy, and data as a long-term advantage helps them compete against megabanks, which is why more people said yes to Alkami in 2023 than any other provider in the market. We continue to focus on the priorities that we shared with you since becoming a public company. win in the bank segment of the market, drive growth through add-on sales, engineer our technology platform for scale, become the employer of choice in our market, and use M&A opportunistically. These objectives will continue to drive our multiyear revenue and profit goals. In 2024, we believe if we do four things well related to our long-term priorities, we will create distance between us and the rest of the market that will be difficult for others to overcome. Number one: continue to invest in client satisfaction throughout the client journey. Our clients want to move with speed in bringing new capabilities to market. We are investing in our platform to make it easier to integrate other technologies into Alkami and allocating engineering resources to reduce the time it takes to implement new capabilities for existing clients. Number two: accelerate the momentum we’re building in banks. During 2023, we had external experts benchmark our commercial offering against market requirements, and they found that Alkami now meets 92% of client expectations in commercial banking functionality. We have allocated product and engineering resources to fully close the remaining product gaps in 2024. And as we implement the 17 banks in our backlog, we will continue to strengthen the capabilities of our commercial offering. Our sales pipeline remains strong, and we expect continued success in this market segment. Number three, maintain excellence in launching new clients. Each year, as we grow, we continue to ramp up the number of new clients we launch. It’s one thing to launch a few clients a year, but Alkami plans to launch 40 new clients in 2024. We believe that the ability to successfully launch clients is a sustainable competitive advantage for Alkami. And during 2024, we intend to build upon our strengths in this area while improving productivity. Finally, we’re going to build leadership at all levels of Alkami. As we grow past 1,000 employees and are on our way to serve 25 million or more digital users on our platform, we need leadership infrastructure just like we have technology infrastructure. We have a leadership development program within Alkami that’s helping our top 50 leaders become great software executives, understand how to create value for our clients and our shareholders, and maintain the culture that’s been critical to our success. In closing, 2023 was a great year for Alkami. We continue to add more digital users and lose fewer clients than any other digital banking provider in the market. This is a result of the people we have, the culture we thrive in, the market we serve, and the technology we build. For too long, our market has suffered with outdated technology, and we intend to bring great technology to this market and be the number one digital banking provider. As we look towards 2024, I’m proud to be part of one of the fastest-growing bank technology companies, and I’m excited to drive even more value for shareholders, clients, and employees. I’ll now hand the call to Bryan.
Bryan Hill: Thanks, Alex, and good afternoon, everyone. 2023 has been another successful year for Alkami. We achieved $265 million in revenue, representing 30% growth, and improved our adjusted EBITDA loss from $18 million in 2022 to $1.6 million in 2023. Our Q4 results contributed significantly to our full-year performance and allowed us to exit the year with positive momentum. For the fourth quarter of 2023, we achieved revenue of $71.4 million, representing growth of 29%. Subscription revenue grew 30% compared to the prior year quarter and represented approximately 97% of total revenue. We increased ARR by 29% and ended the year at $291 million. We currently have approximately $52 million of ARR in backlog for implementation, the majority of which will occur over the next 12 months. We implemented 7 new clients in the quarter and 37% for the full-year, bringing our digital platform client count to 236. We now have 44 new clients in our implementation backlog, representing 1.3 million digital users. We exited the quarter with 17.5 million registered users live on our digital banking platform, up $3 million or 20% compared to last year. Over the last 12 months, registered user growth has continued to be driven by two areas. First, the 37 financial institutions we implemented in 2023 represent 1.5 million registered users and just over $27 million of ARR, both of which exceeded the full year of 2022 by approximately 35%. Second, our existing clients increased their registered users by $1.5 million, demonstrating the market's focus on driving customer retention and growth through the digital banking platform. In terms of churn, for 2023, we did not experience any digital banking client churn, and we expect to lose only 3 clients in 2024, representing less than 1% of our ARR. This compares to our expected long-term average churn of 2% to 3%. We ended the year with an RPU of $16.63, which is 7% higher than last year, driven by add-on sales success and the addition of new clients who tend to onboard with a higher average RPU. We continue to see healthy demand across our product portfolio. During 2023, we signed 39 digital banking platform clients, of which 16 were signed during the fourth quarter. Our new client wins reflect solid representation from banks, which 12 signed during 2023. In addition, 14 of our signed new clients adopted ACH Alert, while 22 adopted segments, demonstrating the importance acquisitions can play in building out our platform and creating a competitive advantage. Our add-on sales focus continues to yield results, representing 35% of total new sales for 2023. In addition to add-on sales, our client sales team is responsible for client contract renewals. During the year, we renewed 31 client relationships, raising the ARR run rate to 6% through a combination of new product sales and committed client growth. And finally, our remaining purchase obligation or contract backlog reached $1.1 billion, almost 4 times our ARR and 28% higher than a year ago. Now turning to gross margin and profitability. For the fourth quarter of 2023, non-GAAP gross margin was 60.3%, representing 390 basis points of expansion when compared to the prior year quarter. Gross margin expansion resulted from improvements in our hosting cost per registered user combined with operating leverage across our post-sale operations, such as our implementation, support, and site reliability engineering teams. We continue to scale post-sale operations while delivering the previously mentioned higher level of output. As a reminder, our 2026 target operating model is a non-GAAP gross margin of 65% as we continue to scale our revenue. Moving to operating expenses. For the fourth quarter of 2023, non-GAAP R&D expense was $17.3 million, or 24% of revenue, 530 basis points lower than the year-ago quarter. We are achieving operational scale while investing in our platform to drive future efficiency, best-in-class reliability, and innovation in new products and functionality. Our target operating model is to leverage R&D for 20% of revenue by 2026 while we continue to invest and expand our platform. Non-GAAP sales and marketing expenses is $10 million, or 14% of revenue, in line with the prior year. We continue to achieve a high level of sales team productivity and go-to-market efficiency. For example, in 2023, we increased our ARR by just under $65 million while investing $41 million in sales and marketing, representing an efficiency ratio of 1.6 for ARR creation to sales and marketing investment. We expect to maintain or slightly improve our go-to-market efficiency as we scale the business and gain market share. As you consider 2024, keep in mind that we will host our annual client conference in the second quarter, which results in approximately $2 million to $2.5 million of higher spending than other quarters of the year. Non-GAAP general and administrative expenses were $13.5 million, or 19% of revenue. In the prior year quarter, G&A was approximately 21% of revenue. The margin expansion is primarily attributable to revenue scale. As we closely manage G&A expenses, we expect to achieve 10% to 12% as a percentage of revenue as we move towards our 2026 profitability objectives. Our adjusted EBITDA for the fourth quarter was $3.1 million, which is an improvement of over $7 million when compared to the prior year quarter. We are very pleased with our 2023 adjusted EBITDA progression. As a reminder, we've established a 2026 adjusted EBITDA margin objective of 20%. We expect our path to 20% will occur at a pace of roughly 700 basis points of adjusted EBITDA margin expansion per year. Now we are moving to the balance sheet. We ended the quarter with just over $92 million in cash and marketable securities. During Q4, we retired our term debt of just over $82 million. Our credit facility revolver remains undrawn and provides $60 million of borrowing capacity. Now turning to guidance. For the first quarter of 2024, we are providing guidance for revenue in the range of $74.5 million to $76 million and adjusted EBITDA of $2.5 million to $3.5 million. For the full year of 2024, we are providing guidance for revenue in the range of $327 million to $333 million, representing growth of 24% to 26% and adjusted EBITDA guidance of $20 million to $23 million. Additionally, because of the impact of expense timing, such as our client conference, as I mentioned earlier, we expect the second quarter to be the low point of our adjusted EBITDA in 2024, modestly lower than the first quarter of the year and consistent with the long-term seasonality of our second quarter expenses. In summary, 2023 was a great year for Alkami, a year of strong performance where we achieved a record level of new sales from both new client wins and add-on sales. added a record number of digital users to our digital banking platform and meaningfully improved our profitability profile by ending the year with a gross margin over 60% and continuing a trend of positive adjusted EBITDA. We remain confident that we are well positioned to achieve our 2026 financial objective of a 20% adjusted EBITDA margin. Our confidence is derived from exceptional visibility and a track record of execution and scale across all areas of the business. We exited the fourth quarter with strong momentum and look forward to delivering another great year in 2024. With that, I'll hand the call to the operator for questions.
Operator: Thank you. And ladies and gentlemen, we will now begin the question session. [Operator Instructions] And your first question comes from the line of Mayank Tandon from Needham. Your line is open.
Mayank Tandon: Oh, thank you. Good evening, Brian and Alex, I wanted to start with a question on the bank market. As you compete for banks in the SMB space, I just want to get a sense of what the competitive landscape looks like. What are your win rates in that market? And who are you taking shares from? Are they the legacy incumbents or some of the other digital-centric players that might have secured that market some years ago but now are maybe coming up on renewals and maybe losing market share to cloud data solutions like yours?
Alex Shootman: Yes. Thanks for the question. This is Alex. The pattern match is very similar to the early days of the credit union market, where these clients have a legacy digital platform that might be 10 or 15-years old. And so, we are replacing those legacy platforms that are 10 or 15 years old with a more modern experience. What they're realizing is that kind of thing. One, even though they're serving businesses, those businesses are made of people, and those people have an expectation of a more modern experience with any of the technology that they're using. The second thing that they're realizing is that some of the legacy technology creates a pretty big overhead on their own internal operations and that a more modern platform can create some efficiencies for them internally. But the short answer is that we're replacing 10 to 15-year-old technology just like we did in the early days of our participation in the credit union market.
Mayank Tandon: That's very helpful, Alex. And then maybe just turn to the financials. And Bryan, maybe you talked about this, but I was just trying to look at the revenue growth that you guided. How does that break down between ARPU expansion and, obviously, user growth being the main engine? I just want to get a sense of the balance between the two key drivers of underlying growth.
Bryan Hill: Yes. No, that's great, Mayank. Our 2024 revenue guidance is very comparable to the longer-term guide that we provided on revenue as well as our profitability objective. And what we continue to say is that we've got a company; we've developed a model. We have a market that can sustain a 25% growth rate, which is the midpoint of our guidance. And how we achieve that from year-to-year is a combination of two things. We would expect to add between 18% and 20% of users to the platform, with 5% and 7% coming from ARPU expansion. The users that we add to the platform will first come from the new logo backlog that we have entering the year. So we have 1.3 million digital users on backlog. We have 44 financial institutions in backlog, and we expect to implement approximately 40 of those this year. The balance will come from our clients growing their user base. So in 2023, our clients grew their users by 10%; in 2022, it was slightly higher than 10%. So we expect that we'll continue at that 10% existing client user rate. As it relates to ARPU expansion, there are two areas of -- that we drive expansion in 2024 and really beyond. One is add-on sales. Add-on sales are now approximately 35% of the total contract value that we sell each year. We think over time we can increase that to a level of 50%, but ARPU expansion primarily comes from add-on sales into the existing base. And then finally, what we're identifying is that, as we have more products to sell, our sales team on the new client side is selling more products on the initial order. So in 2023, on average, we had 18 products per order. We had over 14 clients that had 20 or more products. So there's a greater adoption of products on the initial order. If you went back a year, it was 17 products; a year before that, it was 15%, and the year before that, it was 12%. So we're seeing good momentum in the number of products that are being taken on the initial order, which also has the impact of expanding ARPU over time.
Mayank Tandon: That's a very helpful color. Thank you so much.
Operator: And your next question comes from the line of Andrew Schmidt from Citi. Your line is open.
Andrew Schmidt: Hey, Alex. Hey Bryan, Steve, good quarter here, good consistent results. Thanks for taking my questions. The ARR, I think it was up 29% exiting the year, the live ARR, yet the revenue outlook, as you mentioned before, Bryan, you had 25% at the midpoint. Maybe you can help us just reconcile that? It seems like ARR is obviously a good indicator, but any help there would be great.
Bryan Hill: Yes. So, when we provide guidance one quarter out, Andrew, it's a very predictable revenue model. So, we generally have between 97% and 98% ARR coverage on the subscription revenue that we're going to deliver in the next quarter. And then also what we know, and we know this with a pretty high degree of certainty, again providing us the visibility and predictability of the model, is the number of clients that will launch in the quarter, so the clients that will take a live out of backlog, and then also really what's been scheduled for the full year. So that's a very well-known item for us as well. And so, then the final areas that can provide a revenue lift over time are our ability to sell more product from an add-on sales perspective and the speed at which we implement that. So that's the variable that we have that can drive revenue growth.
Andrew Schmidt: All right. Maybe then it was just a product question. I think, Alex, you mentioned commercial products; a big initiative this year is to sort of continue to iterate and improve that. Maybe talk a little bit about where you're at today in terms of business size as you serve, the functionality, and then some of the things that you're going to be doing this year to continue to iterate that. Obviously, there is a big focus on deposit gathering. It seems like it could be well received on the market. But any help there would be great. Thanks a lot.
Alex Shootman: Thanks. The feedback that we've had from customers that we've signed in the bank market with respect to our commercial offering is that they're attracted to our commercial offering. But with some of their more sophisticated customers, they have, just call it, in the payments area. They just have wire capability that they'd like to see us improve our sophistication on. So generally, as I mentioned in the call, external study, we've got really great coverage on the product. When our customers look at the product and then look at their more sophisticated customers, they're saying, boy, Alkami, there's a couple of things you could do to help me with our more sophisticated customers. The second area is their customers that have more complex ownership interlocks, if you will, where one person might own three or four different LLCs, and they might share those LLCs with different folks, and they might have bookkeepers that operate against different entities. And so that's something that we built in the back half of the year, once again from customer feedback to say, I need a better way to allow these oh I would say, not sophisticated, but more complicated entities to be able to access the right businesses in the digital channel. So, in summary, their ownership structures, and certain areas of payments like wire processing. Got it. We're at a pretty fine grain level now when you start talking about having 92% of coverage on the product. We're starting to get to a pretty fine grain level in terms of what we need to work on.
Andrew Schmidt: Got it. Thanks, Alex. Appreciate the comments.
Operator: And your next question comes from the line of Jacob Stephan from Lake Street. Your line is open.
Jacob Stephan: Hey, guys. Congrats on the results and strong finish to the year here. I just want to touch on the non-renewals that you pointed out. What is this a factor of where these customers switch into a competitor? Or are these more just acquisitions in the F5 space?
Bryan Hill: Yes. So the three financial institutions that we know are not renewing and leading in 2024, two of those are pretty small financial institutions that are going through a core conversion, and they've selected cores that are more esoteric in nature that we will never build integration too. There's not a density of financial institutions on those cores for the investment to the right return of investment for us. The third one is the result of the financial institution being acquired. Generally, for Alkami, we've been the beneficiaries of mergers and acquisitions of financial institutions. But in this case, we are not the acquirer; our financial institution, that's our client, is not the acquirer, and they're moving to the digital banking platform of the acquiring financial institution.
Jacob Stephan: Okay. And then it sounds like the mix of banks and implementation backlog is shifting kind of above the one-third banks to two-thirds credit unions, like it has been over the last couple of quarters, but maybe you could just kind of talk about what you're seeing there? Is there any difference in implementation times for a bank versus a credit union?
Bryan Hill: Yes, I'll jump in and take this one, and Alex, you can add as you fulfill it. The implementation time for a bank is slightly longer than that for a credit union today. So our credit unions are averaging, depending on the number of integrations, the complexity, and the size, but they average between eight and nine months. At a bank, the implementation lift is more hands-on. There's more client specificity of the financial institution that's involved in the implementation effort, like delegation of authority, roles and rights, wires, and those types of things that have to be implemented as well. So that tends to extend the implementation a bit longer. What's cool about 2023 is we added integration into three new cores. Two of those were in the fourth quarter. So now we have integration into eight bank core systems, and there's two or three more that we feel like we need to build over time to have great coverage of the bank side of the market.
Alex Shootman: I would just add to that. For clarity, when we say we added integration, that means the customer went live. So this wasn't something that we sold. This is a customer that lives on a core; these two cores are critical to our long-term bank strategy. And what we tend to see is that there's a bit of a logarithmic curve in the effort that it takes to do an integration. We're after about the fifth integration, the fourth time that we do an integration, and then we're at a steady state of the integration effort. So we were really pleased to get these two clients live on these two brand-new bank cores for us, which open up a pretty big chunk of the market.
Bryan Hill: And just to get more direct on the backlog, of the 17 bank financial institutions in our backlog, we expect to implement 13 of them in 2024, and we had 7 bank implementations in 2023. So we're starting to see more productivity and a greater number of bank financial institutions come live on our platform.
Jacob Stephan: Okay, very helpful. Thank you.
Operator: And your next question comes from the line of Pat Walravens from Citizens JMP. Your line is open.
Pat Walravens: Oh, great. Thank you. Hey, Alex, can I ask, sort of in the big picture, what are the biggest challenges facing your banking clients in '24? And how might that be different than '23? And then there was the same question on the credit union side.
Alex Shootman: Yes. I would say, for both, it's obviously continuing to attract and retain deposits in the environment, which creates a pretty heavy focus on digital account opening, or, as we call it, frictionless account opening. And that could be the account opening of an existing customer or member who is buying a new product, or it could be the acquisition of a new customer. I think the thing that folks are starting to understand, and I wouldn't necessarily say, Hey, it's a big challenge in '24, but it is a challenge that they're starting to address, is that if you think about a regional or community financial institution, banker credit union, there's five systems that you have to have to run that bank or that credit union. Just like if you were an airline, you'd have to have a reservation system. You have to have a core system; you have to have a digital banking system. You have to have payment capability. You have to have lending capability. You have to have fraud management. If you're Bank of America, you would add to that your data platform and your data capability. You would consider the skills that you have in your organization to manage data, which is obviously the engine for any kind of artificial intelligence, to be as critical as the other five systems. But what we're starting to see in our customer base is a recognition that they're having to start building the skills from a data perspective to allow them to compete with the mega banks. So, kind of a two-fold answer, Pat. One is to continue to attract deposits and continue to be able to, in a frictionless manner, offer new products and onboard customers. But then, more strategically, they're realizing that they've got to start building some skills and capabilities that they don't have today to be able to compete with the mega banks.
Pat Walravens: That’s great context. Thank you.
Operator: Your next question comes from the line of [Technical Difficulty]. Your line is open.
Elysse Connor: Hi, this is Elysse Connor on AlexiGoglev. So you kind of touched on this earlier, talking about the ratio of net new ARR to sales and marketing spend and how you aim to get that to, and I believe you said around 1.6%. And I know you provided some color on what that implies, but could you just kind of go into more detail on how you plan to get there? Thank you.
Alex Shootman: The question was, and I'll repeat it, maybe it was around the target operating model in 2026?
Elysse Connor: Yes, about getting to the 1.6 ratio of net new ARR and sales and marketing spend. Thank you.
Bryan Hill: Yes. So when we think about 2026 and sales and marketing as a percent of revenue, ultimately driving to our 20% adjusted EBITDA, We believe that we'll continue to maintain the consistent level of efficiency that we have today. So, in other words, to continue to generate new client wins and cross-sell activity, our investment dollars will be comparable in sales and marketing to our revenue growth. And so, by 2026, we'll still have between 14% and 15% of revenue from that component of operating expenses. In order to achieve that, we'll maintain a 1.5 to -- in 2024 is a 1.6% of ARR creation to sales and marketing expense. Other areas that are equally important are that we would expect to continue to leverage our R&D down to 20% of revenue, and we're doing that in a couple of different areas. One is the revenue scale. Second is continued efficiency within our engineering group and our product group, as well as some offshoring activity that we began in 2023. And then, finally, G&A, we would expect to be at 10% to 12% of revenue by 2026. That's primarily coming from expense management and scaling our G&A line as our revenue grows.
Alex Shootman: So, [Alexi] (ph), the 1.6:1 AR creation to sales and marketing investment is what we're achieving today. So that's not a future target that we're somehow growing into. That's what we achieved in 2023.
Elysse Connor: Okay, got it. Thank you.
Operator: And your next question comes from the line of Charles Nabhan from Stephens. Your line is open.
Charles Nabhan: Hi, guys. Good evening and thanks you for taking my question. I know the new business gets a lot of airtimes, but I was hoping you could comment on some of the trends you're seeing in your renewal business, specifically in terms of your ability to upsell upon renewal as well as any pricing trends you're seeing when the contracts come up.
Bryan Hill: Yes. The renewal class in 2023 was pretty phenomenal. So we renewed 31 clients, and we renewed 20 of those in the fourth quarter of 2022. So we're seeing more renewals. And as those are occurring, we're seeing a nice uplift of about 6% upon renewal that's coming from a couple of different areas. It's cross-selling new products into the client account, and then it's also the client signing up for additional minimum commitments that increase over the new renewal period. It's those two components that are driving the uplift in renewals that we're seeing. And then also in February, as Alex mentioned in his prepared comments, which was a very nice renewal for us, was our largest client, which is a top 10 credit union. And when you compare the contract value of this client to the original contract that they signed six years ago, the value of that contract has more than doubled.
Charles Nabhan: That's great. I appreciate that color. And as a follow-up, I just had a financial question, and I apologize in advance if you touched on this already, but could you talk about the gross margin assumptions embedded in your '24 guide? I know historically, you've talked about 200 to 300 bps of margin expansion. I imagine it will be somewhere in that range, but you also have to balance investment with efficiency. So any comments you can make on cadence and how we should think about that expansion on a quarterly basis would be helpful as well.
Bryan Hill: Yes. No, that's great. So in 2024, we're going to experience 700 basis points of adjusted EBITDA margin expansion. The way to think about that is that 250 basis points will come roughly from gross margin and 450 basis points will come from OpEx. The gross margin leverage that we're experiencing, a good component of that, comes from investments that we're making in our platform that continue to drive down our cost per registered user in terms of the hosting costs that we pay to AWS. The other areas where we're seeing nice operating leverage are in the post-sale operations of our business, such as implementation, reliability, engineering, and our support functions. All of those functions are experiencing operational efficiency that's contributing to the year-over-year gross margin expansion. When we -- and I know you didn't ask this, but when we dropped down to OpEx, the majority of about two-thirds of the operating expense efficiency will come from G&A, and the balance will be split evenly between R&D and sales and marketing.
Charles Nabhan: Great. Well, thanks and great quarter, guys.
Operator: Thank you. And your next question comes from the line of Chris Kennedy from William Blair. Your line is open.
Chris Kennedy: Good afternoon and thanks for taking the question. Alex, you touched on the importance of data. Can you just talk about what you're doing to leverage the data that's on your platform?
Alex Shootman: Yes. Thanks. From the very beginning, when Alkami was created, there was the notion that storing transactional data could be useful for the financial institution. And then we built some technology to do that. And then we took a pretty big step forward with an acquisition last summer, looking at Brian, with an acquisition April 22, a company with a modern data platform. And if you think about what capability we had, that company, which is now part of Alkami, had the ability to ingest contextualized transactional data from lots of different legacy bank cores, and then you combine that with the information, the transactional information that's coming out of our digital banking application. So now, across that surface area, we have transactional data that we can analyze from more accounts than probably anybody but Bank of America right now. And so, if you think about a topic like artificial intelligence, artificial intelligence is good data plus different types of models. You could have a retrieval model; you could have a classification model; you could have a predictive model. And so what we're able to do with our customers is have this great data set that we've been able to do a lot of machine learning against that helps them classify their customers or members into demographic groups that allow them to target better and then also has a predictive model in it so that it can say for them, this demographic group, you ought to make this offer for. So, in summary, we think that data capability is the long-term differentiator for digital banking. And we had both our own organic build from the very beginning of the company, then supplemented that with a really great acquisition in April of '22 that resulted in a data platform that's got an immense amount of transactions that we can do machine learning against and apply both classification models and models to help customers. And I'll turn to Brian because we actually saw a lot of success in cross-selling that product and in selling that product with our new logos this last year.
Bryan Hill: That's right. So, this was definitely a differentiator for us as it related to new client wins. We had 22 of the 39 new clients that we sold in 2024 that adopted the segment marketing and analytics product that Alex was referring to.
Chris Kennedy: Great, thanks for taking the question.
Operator: And your next question comes from the line of Adam Hotchkiss from Goldman Sachs. Your line is open.
Adam Hotchkiss: Great. Thanks for taking my questions. It'd be great to talk a little bit about the broader industry and, Alex and Brian, what you're hearing in your customer conversations around bank IT budgets for the year. Anything to call out there?
Alex Shootman: Yes. Like I said in some of my remarks, the priority for the customers that I talked to is really around three big things. One is reducing friction. So how can they take an end-to-end new customer, new member, or existing customer looking for a new product? How can they take the friction out of that experience? Number two is fraud. Fraud is huge on their minds. It was interesting. We had our customer advisory board together a few months ago, and we kind of created a decision framework for them to try to understand where they were leaning. For so many years, much of what they asked us to do was to improve their customer or member experience and do certain things that would make a really great customer or member experience. Some of those things have the ability to create a threat vector. And so what we're asking them is, how do you think about things today? Are you still leaning into customer experience? Or are you more leaning into fraud management, 100% of them said, boy, I'm willing to give up some of the customer or member experience to fight fraud because fraud is just -- is really becoming a big deal for me. And then finally, modern money movement, right? Obviously, as the generations change, if you look at something like a bill pay, it looks a lot like a checkbook. And so, what our customers have asked us to do that we've built for them is can I have a much more modern looking money movement place where somebody comes in and they're selecting between four or five different options of how they can move money as opposed to going to three or four different applications that are unintegrated. So, any kind of friction reduction, digital account opening, any kind of ease of buying a product, any -- a lot of investment around fraud and fraud management and the discussion of the nuances between the balancing of a good experience with fighting fraud and then providing a more modern payment experience.
Bryan Hill: And Adam, with the innovation that's occurring to the digital banking platform that Alex was describing, that's the driver in the market. That's the tailwind in the market for companies like Alkami to pick up the number of new clients and the digital users that we're picking up. The current providers in the space are not keeping up with the mega banks and some of the super-regional banks and what they're investing through their digital banking platform, and that's what requires the end market to look at more of a contemporary provider of services in the space such as an Alkami, which is benefiting us in the market share that we're gaining.
Adam Hotchkiss: Got it. Thanks. That's all really useful color. And could you just remind us what the typical product road map looks like for a bank versus a credit union and how that land and expand motion differs between the two? Just curious if there's anything you've learned in some of your earlier bank cohorts have matured a bit.
Bryan Hill: So we're pretty early in the early innings of penetrating the bank market. And it really depends on the bank financial institution. So if it's a bank financial institution that's heavy leaning into commercial clients and commercial deposits, then the primary difference between a credit union and a bank is the commercial banking offering. As it relates to the retail side, if it's a bank financial institution that's predominantly growing and has a strategy more focusing on retail clients, it looks very similar to a credit on. So not a lot of differences there.
Alex Shootman: Maybe you can comment, Brian, on just what we're seeing from an ARPU perspective between new logo bank and a new logo credit union?
Bryan Hill: Sure. So -- and the best way to look at that is to unpack our backlog that we have going into the year. So 44 financial institutions, 1.3 million digital users and the ARPU on our backlog going into 2024 is around $26, a bank financial institution or the banks that we have in our backlog and there are 17 of them, they're averaging $31 per user compared to the credit unions, which are $23 per user. -- even the $23 per user on the credit union side of our backlog, that's a significant uplift above where the company's blended averages. What's driving that is the number of products that are being adopted on the MSA and on the original sale. As I mentioned earlier, on average, now our clients are adopting 18 products on the original order compared to 17 a year ago, 15 a year before that. So much different. But what's driving the increase between a bank and a credit union is predominantly the commercial banking platform and commercial banking application that they'll take.
Adam Hotchkiss: Really great, Coller. Thanks a lot, Brian. Thanks, Alex.
Operator: And your next question comes from the line of Saket Kalia from Barclays. Your line is open.
Saket Kalia: Okay, great. Hey, guys. Thanks for taking my questions here and nice quarter.
Bryan Hill: Hey, Saket.
Saket Kalia: Hey, Alex, hey Bryan. Listen, sorry in advance if these questions have been asked. But maybe first for you, Brian, on the ARPU point, the revenue per user that really stood out to me this quarter. And you just touched on sort of the add-on sales motion really adding more product to the existing base. Can we just talk about maybe 1 or 2 of those additional products that are most substantial to sort of that ARPU lift?
Bryan Hill: What we're seeing a lot of product adoption is really in 4 areas in '23. And those are pretty consistent with '22. So in the money movement area of our platform, we're seeing nice cross-sell activity that's happening also in the customer service area, which is where you'll see some machine learning type of products that come through like chat bots and those type of things. Security and fraud is an area where we're having some pretty strong cross-sell activity. A lot of that's being driven by our ACH alert acquisition from a couple of years ago. And then a core segment, that's contributing a lot on the marketing side of our platform and driving some adoption there. All those products that I just mentioned are those product family groups, those are what I would refer to as more of a richer RPU set compared to some of the other product groups that we have.
Saket Kalia: Got it. Got it. That makes sense. Alex, maybe for my follow-up for you. A lot of focus, a lot of success in the bank vertical here. And I think you made some comments earlier just on the pipeline. I'm curious, how is sort of the win rate in that vertical evolved? And do you feel like you're getting the reference enough reference customers to sort of -- to help that discussion to shorten the sales cycles going forward? Anything on that win rate and sort of sales cycles, if you will.
Alex Shootman: Yes. From a market perspective, one of the things that we measure is what is the awareness of us as a provider. And that's something that we continue to try to move forward. We still have room to go there. We are consistently number one or two in the crane market in terms of a buyer being aware that they should consider Alkami. We're currently number seven in the bank market. So we still -- we're building a new business in that market. And so we're still making progress in terms of general awareness. We had -- I think we talked about this in the last call, probably a year to a year and a half ago, we had a really high win rate in the bank market, but we didn't have a lot of that. And we said to ourselves, we it's probably not good news. We actually need to see a win rate come down, which means we'll have more at that. So we had more at bat this year. The win rate came down, and that is a result of being more well-known now in the bank market. So, in summary, we have room to go to become known as a provider in the bank market, and we're working on that. We got more at bats this year than we had last year. And so year-over-year, the win rate went down as a result of the increased at bats.
Bryan Hill: Yes. And second, when we look at the bank market, there's a lot of factors that drive success there. It's not just -- at least at this stage, it's not just the number of new clients that we're adding. It's how are we moving the product? What's the product market fit. And as Alex mentioned earlier in the call and some prepared comments, is we had a consultant come in, they evaluated our commercial offering. And we feel like we're 90%, 92% there in having the right product to reach a broad set of bank financial institutions, and we're going to close the remaining gap in 2024. Also, it's the core integrations that you have. We now have a core integration into 8 bank core systems. There's probably two to three more that we need to add to even provide greater density, but we're making a lot of progress in adding additional bank core integrations. And then unaided awareness or share of voice, however you want to describe that what Alex was just describing. If you go back two years ago, we were only in 20 bank deals. In 2022, we were in about 45 or so in 2023 that moved up to over 60. So now we're being invited to more deals. That results in a lower win rate. But as all three or four of these factors come together, that's ultimately how we'll forge success moving forward with the objective by 2026 when you look at our new -- the composition of the new clients that we sell in 2026, our view is half of those would be credit unions and half of those would be bank financial institutions.
Alex Shootman: And I would just probably summarize to say there's a management team here that has been in companies that have entered markets. And what we understand is that you can't learn the women in the front yard. And so, you decide to go in the market and you go and start attacking that market and then you understand what you need to take as a next step. And so, we're exactly where we expected to be at this point in time in terms of building in the bank market. We know what to do next with products, with skills, with awareness, with marketing. We're really pleased with the progress.
Saket Kalia: Got it. Really nicely done. Thanks, guys.
Operator: Thank you, and our Q&A has now ended. Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.